Operator: Good day, ladies and gentlemen and welcome to the NovaGold's First Quarter 2015 Conference Call and Webcast. My name is Chris, and I’ll be your conference moderator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, the conference is being recorded for replay purposes. And at this time, I would now like to turn the conference over to your host for today, Ms. Melanie Hennessey, Vice President, Corporate Communications. Please proceed ma'am.
Melanie Hennessey: Thank you, Chris and good morning, everyone. Thank you for joining us for NovaGold's first quarter financial results and to hear an update on the development of Donlin Gold and Galore Creek. On today's call, we have Greg Lang, NovaGold's President and CEO; and David Ottewell, NovaGold's Vice President and CFO. At the end of the formal part of the presentation, we will take questions by phone and by email. But before we get started, I would like to remind our listeners that any statements made today may contain forward-looking information such as projections and goals, which are likely to involve risks detailed in various EDGAR and SEDAR filings and in various forward-looking disclaimers included in this presentation. With that, I’ll hand it over to Greg?
Greg Lang: Thank you, Melanie. Good morning. We appreciate you joining us today. What makes our company unique? We're a development stage company that has two great assets in North America, which are highlighted on Slide 4. Our flagship asset, the Donlin Gold project is well into permitting and poised to be one of the largest producers in the gold industry. Galore Creek, which is held 50% with Teck is expected to be the largest and lowest cost copper mine in Canada. Moving to Slide 5, I am pleased with the progress we've achieved at Donlin Gold. The key focus has been on permitting and more specifically the draft EIS. The Army Corps of Engineers, the lead permitting agency received comments on the initial drafts of the environmental consequences section from the cooperating agencies. These comments will be considered and incorporated into the draft EIS, which is scheduled to be released for public comment by year-end. At Galore Creek we continue to progress on technical studies in mine planning and design, waste rock and water management, environmental monitoring and community commitments as well as keeping the site on care and maintenance. We anticipate that when copper markets turn, this effort will further enhance the value and marketability of Galore Creek. During the quarter, we released the first segment of the four part video series titled Yup'ik Language and Culture. The objective of this initiative is to feature the heritage of the people in the remote communities in Alaska as well as the opportunities and challenges they face. Preserving and respecting the cultures of the region is one of our core company values and we felt it important to share different aspects of day to day life in the region. Specifically as it relates to people living near the Donlin Gold project. Lastly, we remain actively engaged with Donlin and Galore Creek in developing and maintaining excellent relationships in our communities by sponsoring regional activities, encouraging youth funding and scholarships and supporting them in their leadership endeavors. We have extensive ties and community outreach programs in Y-K and the surrounding regions. I'll now pass it over to David, who will walk us through NovaGold's first quarter financial results.
David Ottewell: Thank you, Greg. Turning to Slide 6, our project activities continue as planned as we support Donlin Gold permitting activities and Galore Creek technical studies. We spent $2.5 million to fund our share of Donlin Gold and Galore Creek in the first quarter. For the full year, we expect to spend $14.2 million on our projects. Slide 7, highlights our income statement items for the first quarter. Our operating loss is unchanged from last year at $11.3 million. General and administrative expenses increased in 2015 as a result of higher share-based compensation cost resulting from higher stock prices. Galore Creek expenses were reduced as the prior year included severance cost. Our 50% share of the Donlin Gold study cost was $200,000 in the first quarter. Turning to our cash flow on Slide 8, our total cash and term deposits decreased by $8.3 million as planned and similar to the prior year quarter. We ended the quarter with cash and term deposits totaling $157 million. We expect to spend $45 million for the full year including the repayment of the remaining $15.8 million of convertible notes on May 1. We should end the year with approximately $120 million in cash and term deposits. Greg, now back to you.
Greg Lang: Thank you, David. We're very thankful for the capital that has been entrusted to us by our shareholders more than three years ago. We continue to carefully manage our expenses and our balance sheet. The recent pause in the securable market for gold has resulted in some projects in our industry being shelved due to suboptimal quality and others just outright cancelled due to jurisdictional risk. Our flagship Donlin Gold as shown on Slide 9 continues to retain all its important fundamentally positive attributes. With 39 million ounces of gold in resources at an average grade of 2.2 grams is one of the largest and highest grade undeveloped gold deposits in the world. Over three decades in the industry and I’ve seen and worked on only a select few assets that achieve this scale this is the first time however that I’ve seen an asset that starts with such an impressive endowment. Moving to Slide 10 as a 1 million ounce a year gold producer for over 27 years Donlin would contribute great economic benefits to the region, the stake and our shareholders for many decades to come. The project's production profile is clearly at the top of the list when compared to its peer group of development stage open pit gold deposits. This point is further illustrated on Slide 11 with an average grade of 2.25 grams, it's unusually high for an open pit deposit in today’s environment. Donlin’s grade compares favorably to both emerging open pit gold deposits as well as the top 10 gold producers and the current mineral endowment is found on only a small percentage of the total land package. The future mine as shown in the graph on Slide 12 occupies only three kilometers of an eight kilometer belt. Tremendous exploration upside exists at Donlin with multiple targets and areas that have not yet been fully explored. One of the qualities most sought out by our investors is Donlin Gold’s excellent leverage as shown on Slide 13. They look at NovaGold, and hence Donlin Gold as an un-expiring warrant on an ounce of gold. Even in a low price environment, the project has positive rates of return. Moreover Donlin’s distinctly long mine life offers a likelihood that the project will enjoy multiple bull markets throughout its life. In addition to quantity and quality, Donlin Gold in the United States is a great location to be in. When we meet with investors and talk about the project, we say that the U.S. had a defined and rigorous permitting process. It’s a place where the rule of law is not a novelty. Once you get through it, you get to keep the fruits of your labor. As shown on Slide 14, jurisdiction is an important issue in the resources sector. One of the key questions that investors will be asking of mining companies is where in the world are your assets located? If you wouldn’t take your family there on vacation, why would you want to invest there? In recent months, we’ve seen coups, kidnappings, instability and changing geopolitics. The emerging markets are slowly deteriorating and have altered how investors look at opportunities. Investing in these regions carries risks well beyond what you find in North America. These and other attributes of Donlin Gold make NovaGold a truly institutional quality investment and we expect to be the go-to stock in our space. Slide 15 shows Donlin Gold’s project funding on a 100% basis since the formation of Donlin Gold LLC, which is the current ownership structure. The industry has seen significant change and has been further exacerbated as projects are shelved or cancelled or companies become insolvent. Considering that we and our partners have been advancing steadily and without interruption, what is clearly the most important development stage project in the world, this process has been remarkably smooth. It’s a testament both to the quality of the asset as well as Donlin Gold’s management of the project over the years as we have taken it up the value chain for the benefit of all stakeholders. NovaGold and our partner Barrick are committed to working together to take full advantage of Donlin’s unique scale and optionality. Most recently, Barrick provides their disclosure on Donlin Gold, which bears repeating because as partners we find ourselves completely aligned in our objectives and our strategy. We've included a few excerpts from their disclosure on Slide 16. But neither party in the Donlin Gold partnership is interested in building this uniquely attractive asset without proper regard for the macroeconomic environment or the price of gold. To the contrary, our Chairman, Tom Kaplan recently observed that both companies are happy to take a somber and constructive view. We won’t subsidize the world’s gold consumption by squandering the treasures that Mother Nature has given us and we’re happy to wait for higher gold prices that will make the economics sing. As shown on Slide 17, in order to take full advantage of the scale and optionality, NovaGold and Barrick are advancing Donlin through permitting. At the same time, we're evaluating alternatives to reduce additional capital through third-party owner-operator agreements and optimize development scenarios. Prior to making a construction decision, we expect to bring up to date capital and operating cost and other inputs for the project. Activities in the first quarter were mainly focused on the initial draft EIS, the Corps has received comments from the cooperating agencies including the EPA, The Bureau of Land Management, the State of Alaska and of course the native organizations. This early input into the EIS is important to ensure that it meets the expectations and needs of all the agencies involved in reviewing the project. The agency's comments will be considered and will be incorporated into the draft EIS, which is on schedule to be issued for public comment in 2015. After careful consideration, the Court determined that once the draft EIS is published, a longer public comment period than the originally planned two months would be appropriate and modified to schedule to allow for five months of public input. This updated timeline was published by the Corps last week. The EIS is a large part in determining the overall permitting timeline for Donlin Gold. The EIS has a very thorough analysis of the potential impacts of the mine, the transportation plan and pipeline, on more than two dozen biological, social and cultural resource areas. The revised schedule provides ample time for all of the stakeholders to become informed and comment on the EIS and the respects on the cultural practices in the Y-K region. Investing this time now will ensure a prosperous future for Donlin Gold. I am pleased with the progress to date. It's one of the most comprehensive undertakings given the magnitude of this project and its importance to the gold industry. We also continue to work simultaneously with other permitting agencies on additional major permits such as air quality, water discharge, pipeline plan and development, wet lands and dam safety. The permitting process in the United States is rigorous and rightly so. It is the very reasonable price we pay for having security of tenure in one of the world's safest jurisdictions. As mangers of a rich piece of real estate with a massive mineral endowment, we're advocates for the government agencies that are our counterparts in this process. We know that the more comprehensive and transparent the work is done on the front end, the better outcome for all the stakeholders. We support the thorough and professional approach taken by the core in the preparation of the EIS and we're encouraged by our joint progress in providing all agencies and the public with ample time and opportunity to thoroughly review our project. NovaGold is focused on five key areas as shown on Slide 19. Advancing the Donlin Gold project toward a construction decision, upholding strong relationships with all stakeholders, advancing Galore Creek while we wait for copper markets to turn and finally maintaining a strong balance sheet. We're advancing both of our projects at a measured pace with rigorous alignment with all of our stakeholders and community partners. We have an unwavering conviction and discipline in achieving our goal of permitting Donlin. This another attributes of Donlin Gold are what make NovaGold an institutional quality investment. In closing, before we end the official part of our call, we would like to congratulate Pete Kaiser and Richie Diehl for completing the Iditarod Trail International Sled Dog Race in Alaska as shown on Slide 21. They're from the YK region where the Donlin Gold is located. They're excellent role models and ambassadors for the youth in the region. This was a key event that we look forward to and sponsor annually. During this race they must have travelled nearly a 1,000 miles across rugged terrain in rough conditions from Fairbanks to Nome, Alaska. It's in its 43rd year the Iditarod honors mushers greatest achievements in keeping alive a tradition that began with the transportation of goods to support the remote mining regions of Alaska. With that operator, we would now like to open the line for questions.
Greg Lang: Well, everyone thank you for joining us on our call this morning.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you so much for your participation. You may now disconnect. Have a great day.